Operator: Thank you for standing by. At this time, I would like to welcome everyone to the Commvault Systems, Inc. Q4 fiscal year 2025 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, again, press the star one. Thank you. I would now like to turn the conference over to Michael Melnyk, Head of Investor Relations. Please go ahead.
Michael Melnyk: Good morning, and welcome to our earnings conference call. Before we begin, I'd like to remind you that statements made on today's call will include forward-looking statements about Commvault Systems, Inc.'s future expectations, plans, and prospects. All such forward-looking statements are subject to risks, uncertainties, and assumptions. Please refer to the cautionary language in today's earnings release and Commvault's most recent periodic reports filed with the SEC for a discussion of the risks and uncertainties that could cause the company's actual results to be materially different from those contemplated in these forward-looking statements. Commvault does not assume any obligation to update these statements. During this call, Commvault's financial results are presented on a non-GAAP basis. A reconciliation between the non-GAAP and GAAP measures can be found on our website. Thank you again for joining us. Now I'll turn it over to our CEO, Sanjay Mirchandani, for his opening remarks. Sanjay?
Sanjay Mirchandani: Thanks, Mike. I apologize if I'm a bit raspy. I'm recovering from the flu. Good morning. And thank you for joining today's call. I'm excited to share the results from another record-breaking Q4 and full fiscal year 2025. First, let's talk about the quarter. Total revenue increased 23% to $275 million. Subscription revenue grew 45% to $173 million. Total ARR improved 21% to $930 million, and SaaS ARR jumped 68% to $281 million. Fiscal year 2025 was a pivotal year. We reimagined resiliency for a cloud-first world. We doubled down on innovation and execution. And we firmly positioned ourselves as a growth company. We delivered highly differentiated data security and recovery offerings that make customers more resilient, including Clean Room, active directory, forest level recovery, and cloud rewind. We extended our partner ecosystem, including integrations with leading security players like Akamai, Dithera, Google Threat Intelligence, Splunk, and Waze. We integrated two acquisitions that expand the breadth and depth of our platform, reaching new cloud buyers and serving new markets, notably with AWS workloads. We reignited growth in our LAN business, adding nearly 3,000 subscription customers. We drove a double-digit improvement in sales productivity, and on a rule of 40 basis, we achieved 41 for the full fiscal year. As we begin fiscal year 2026, Commvault Systems, Inc. has never been better positioned to succeed and win. Let me talk about our three fundamental growth drivers. First, we expect to benefit from strong secular tailwinds tied to cyber resilience. Second, in a cloud-first world, our approach to continuous business is second to none. Third, we're executing both internally and with our growing partner ecosystem. I'll discuss each driver in more detail. First, cyber resilience remains a top strategic priority for organizations. Ransomware and sophisticated cyberattacks are increasing in frequency. Cloud environments are more complex, and there are emerging use cases around AI. As such, organizations are increasingly turning to Commvault to keep their business continuous. Some recent notable customer wins include American Tower, Cinemark Holdings, Janus International, McGraw Hill, and Blue Origin, among others. Whether it's on-prem or in the cloud, Commvault gives customers the flexibility to choose the best resilient solution at the lowest total cost of ownership. For example, this quarter, we helped one of Europe's largest financial institutions enhance its resilience while consolidating multiple data centers. By deploying Commvault's HyperScale X, this customer significantly reduced hardware costs, simplified its day-to-day operations, and enhanced its overall cyber resilience posture. As customers' threats grow and become more sophisticated, we're supporting GDPR and DORA in the EU and Saukki and Opera in Australia. Our ability to support compliance is contributing to strong growth internationally. For example, in EMEA, we partnered with Accenture Italia to support a leading Italian banking group with DORA compliance. The same bank transitioned away from two legacy vendors and consolidated Commvault to enhance its cyber resilience posture. And in APAC, a large global financial services company chose Commvault to protect its AWS workload, using an air-gapped immutable copy of its data to support compliance requirements. We also offered this customer a more elegant solution with a lower total cost of ownership than the incumbent provider. Our success extended into highly regulated industries like healthcare and financial services. This was evident in Q4, and we landed one of America's largest financial institutions. We had a number of big wins with banks this quarter, and you'll hear more of that throughout my prepared remarks. These strong customer testimonials reflect current tailwinds in the industry and lead us to our second growth driver, our unique approach to continuous business. A state of always-on business availability and resilience for the modern enterprise. With continuous business, traditional backup and disaster recovery solutions are no longer enough. Customers require a platform with the breadth and depth that can help them rapidly recover their entire business. Data, applications, and infrastructure together. That's what Commvault offers. Uniquely provide. Let's look at a few examples, starting with Active Directory. Often called the backbone of enterprise IT, it's estimated that Active Directory and enterprise IT manage authentication for more than 600 million users worldwide and control access to critical business systems, protecting everything from workstation logins to physical building access. If Active Directory goes offline, business operations can grind to a halt. It's no surprise that bad actors make Active Directory a primary target in nine out of ten cyberattacks. Enter Commvault. Commvault recently introduced Active Directory's forest level recovery, automating rapid recovery of everything from users, groups, and permissions to domain controllers across the organization. What could take days to recover now takes a fraction of the time. In Q4, Active Directory was one of the company's fastest-growing SaaS offerings. A second example of how we're enabling continuous business is cloud rewind. After a cyberattack, one of the most complex, costly, and time-consuming steps in the recovery process is rebuilding cloud-native applications that power and run their data. This can take weeks, a luxury our customers do not have. Commvault Cloud Rewind enables customers to rapidly rebuild their applications and the infrastructure and configurations that power them so they can get back to business. And as more organizations embrace AI, they need to be able to recover AI data at a moment's notice. This brings me to a third example of how we're enabling continuous business. Many companies store massive AI data repositories on Amazon S3. If that data is corrupted or lost, our Commvault offerings like Backtrack can help customers rapidly recover these massive datasets with billions of objects fast. In fact, according to our research, Commvault's serverless orchestration engine can scale to hundreds of petabytes and restore data at ten times the speed of other solutions. The need for this technology has never been greater. For example, Atlassian, the software company, chose Commvault to help protect dozens of petabytes of Amazon S3 data and billions of objects across numerous geographies. Commvault's massively scalable solution significantly reduced backup and restore times and helped cut costs by more than 50%. This showcases Commvault's enterprise-grade data protection at cloud scale, where traditional solutions simply can't compete. The three offerings I just discussed—Active Directory, Cloud Rewind, and Commvault Backtrack—are pivotal to enabling continuous business. And when it comes to addressing key customer pain points, they're even better together. This brings us to our third major growth driver of fiscal year 2026, executing internally and with our partner ecosystem. We drove record levels of inflow, improved growth rates, and increased rep productivity while growing our sales force. Building on that momentum, in Q4, we saw record contributions of partners to our land business. I'll share just a few examples. Partnering with Hitachi and Pure, we displaced two incumbent providers to help a Fortune 500 global finance firm standardize its platform and enhance its cyber resilience with strict time-to-recovery SLAs. Our ability to secure the entire data estate at scale was key to this win. Next, with HPE, we enabled a large European bank to enhance its cyber resilience posture and support its DORA compliance deadline. And partnering with Kyndryl, we displaced the incumbent to help a large UK bank modernize its cloud footprint and support its DORA compliance. Our ability to protect most applications with a single solution, address and test security concerns with Commvault Clean Room, and provide the fastest time to recovery were key competitive differentiators. We also doubled down on our relationships with leading hyperscalers, supporting our customers as they accelerate the move to the cloud. This fueled additional growth as our marketplace transactions grew nearly 50% quarter on quarter and over 250% year on year. Building on the momentum in fiscal year 2025, we plan to continue investing in cloud and data security integrations across our partner ecosystem. So in closing, as we head into fiscal year 2026, we believe the opportunity before us is compelling. And as we grow and expand our portfolio with higher growth adjacent markets like data security and cloud security, we're attracting new buyers and significantly increasing our total addressable market. We now estimate this opportunity to be approximately $24 billion. While we continue to monitor the macro environment, our business remains strong. Our team is executing, and we're winning new customers. We're confident in our outlook and excited about the future. As the most innovative cyber resilience platform in the industry, I want to thank our entire team for their dedication and hard work. Our people are the driving force behind everything we do. The energy and enthusiasm I witnessed at our kickoff a few weeks ago is any indication we are ready to deliver for our customers and partners again in fiscal year 2026. Now I'll turn it over to our Chief Financial Officer, Jen DiRico, to discuss our results. Jen?
Jen DiRico: Thanks, Sanjay. As Sanjay noted, Q4 was another excellent quarter driven by strong performance across geographic regions, increased contributions from our new offerings, elevated new customer growth, and healthy renewal and expansion activity within our installed base. I'm proud to say that our platform and our message are resonating with customers, and our team is executing against a growing market opportunity. I want to thank all the Commvaulters that contributed to the best fiscal year that Commvault Systems, Inc. has ever seen. Now I'll discuss our Q4 results and operating metrics, followed by a discussion of guidance for Q1 and fiscal 2026. Please note that all growth rates are compared on a year-over-year basis unless otherwise specified. Total ARR increased by 21% to $930 million on a reported basis. For a like-for-like comparison of FX-adjusted ARR to prior quarters, please refer to page 27 of the Q4 earnings presentation. Subscription ARR grew 31% to $780 million, including a substantial 68% increase in SaaS ARR, totaling $281 million. Subscription ARR now constitutes 84% of total ARR, compared to 77% one year ago. We consider subscription ARR to be the best indicator of the company's growth profile as it adjusts for the lower growth of our perpetual license and customer support businesses. Now I'll discuss Q4 revenue trends. Total revenue increased 23% to $275 million, driven by a robust 45% increase in subscription revenue. The growth in subscription revenue was driven by momentum across our SaaS platform, healthy growth in our software land business, and expansion with existing customers. Revenue from term software transactions over $100,000 increased by 38%, benefiting equally from an improvement in volume and average transaction size. This included more than a dozen transactions over $1 million. Many of these transactions carried multiyear terms as customers view Commvault as the strategic partner of choice to help them address their evolving cyber resilience needs. This presents an exciting opportunity for us to grow and expand with them as their needs evolve. For example, we recently landed one of the world's largest consumer product companies that was using a costly patchwork of competitive offerings. Commvault centralized its numerous heterogeneous workloads, enhanced its data security, and lowered its cost across multiple clouds, factories, and data centers. Our growth this quarter wasn't limited to large deals. Q4 was also the best volume quarter of the year for term software transactions under $100,000, and we added 700 new subscription customers, surpassing 12,000 worldwide. Existing customer expansion remained healthy, with Q4 SaaS net dollar retention rate steady at 127%, driven by both upsell and cross-sell. SaaS ARR saw notable growth from new products, particularly Active Directory, Clean Room, and Threat Scan. For example, we secured a seven-figure multiyear renewal with an existing Commvault customer that recognized the value and innovation that we deliver. This Fortune 500 clean energy production company expanded existing workloads, including VMs, M365, and Active Directory. In addition, to help mitigate the impact of cyber incidents and support continuous business operations, the company added numerous cyber offerings, including risk analysis, Threat Scan, and Clean Room. This customer is an example of why we are winning in the market and how we plan to build on this momentum in FY 2026. One of our strategic priorities for FY 2026 is to drive increased multiproduct adoption of our SaaS offerings. Today, approximately 30% of SaaS customers utilize multiple offerings. As we have shared in the past, there is significant potential to drive this percentage higher over time by monetizing our cyber offerings like Active Directory, Threat Scan, and Clean Room, as well as our enhanced AWS offerings like Commvault Backtrack. Now I'll discuss our consistent profitability and free cash flow, which demonstrates our commitment to a responsible growth philosophy. Fiscal Q4 gross margins were 83.1%, reflecting a strong mix of term software sales combined with a continued focus on driving optimization in our SaaS margins. Going forward, we continue to expect total gross margins to be in the low 80% range over time as SaaS becomes the larger mix of the overall business. Operating expenses of $168 million represented 61% of total revenue, compared to 62% in the prior year. Q4 operating expenses included previously disclosed growth-driving investments and higher commission and bonuses on record sales results. Non-GAAP EBIT grew 31% to $59 million, with margins up 130 basis points year over year to 21.5%. Non-GAAP EBIT benefited from strong flow-through of revenue outperformance, which was driven by the continued hyper-growth of our SaaS platform and a record quarter for term software transactions. Now moving to some key balance sheet and cash flow metrics. We ended the quarter with no debt and $302 million in cash. Q4 free cash flow of $76 million and full-year free cash flow of $204 million came in at the high end of our guidance. The biggest drivers of free cash flow are deferred revenue from SaaS contracts and the strength of our term software business, which typically includes upfront payments on multiyear contracts. For the fiscal year ending March 31, 2025, we repurchased $165 million of stock, representing 81% of free cash flow, again exceeding our guidance to return at least 75%. Now I'll discuss our outlook for Q1 and fiscal year 2026. I'm extremely proud of what we accomplished in fiscal year 2025. The rate of innovation at Commvault Systems, Inc. is impressive, and the breadth and depth of our platform is unmatched. As Sanjay said earlier, our innovations allow us to address new use cases, new buying personas, and significantly expand our total addressable market, which we now estimate to be over $24 billion. We're excited about this larger, higher-growth market opportunity and confident in our team's ability to execute. At the same time, we're closely monitoring the macro environment and potential changes in demand trends. For fiscal Q1 2026, we expect subscription revenue, which includes both the software portion of term-based licenses and SaaS, to be in the range of $166 million to $170 million. This represents 35% year-over-year growth at the midpoint. We expect total revenue to be in the range of $266 million to $270 million, with growth of 19% at the midpoint. At these revenue levels, we expect Q1 consolidated gross margins to be in the range of 81% to 82%. We expect Q1 non-GAAP EBIT margins of approximately 21%. Our projected diluted share count for fiscal Q1 is approximately 45 million shares. Now I'm happy to share our initial FY 2026 outlook. We expect fiscal year 2026 total ARR growth of 16% to 17% year over year. This will be driven by subscription ARR, which we expect to increase in the range of 22% to 23% year over year. Beginning in FY 2026, we will report ARR on both a reported and an FX-adjusted basis using rates as of March 31, 2025. For a historical comparison, please refer to page 27 of our Q4 earnings presentation, which includes FY 2025 ARR, rebased using these same rates. From a full-year fiscal 2026 revenue perspective, we expect subscription revenue to be in the range of $727 million to $732 million, growing 24% at the midpoint, with strong contribution from both term software licenses and SaaS. We expect total revenue of $1.13 billion to $1.14 billion, an increase of 14% at the midpoint. Moving to our full-year fiscal 2026 margin, EBIT, and cash flow outlook. We expect gross margins to be 81% to 82%. This range reflects continued growth in our SaaS platform, which carries a different gross margin profile than software. We expect non-GAAP EBIT margins to be approximately 21%. Non-GAAP EBIT margins include our continued investments around additional growth-driving initiatives. We are projecting full-year free cash flow of $210 million to $215 million. This guidance reflects our transition to a cash taxpayer following the full utilization of our tax carryforward credits in fiscal 2025. From a capital allocation standpoint, our three core priorities remain unchanged: strategic M&A, share repurchases, and reinvestment in the business. As we shared last quarter, the mix across these pillars may shift based on the opportunities we see in the market. In closing, the investments we made in FY 2025 have positioned us well to capture a significant market opportunity in FY 2026 and beyond. While we remain mindful of the broader macro environment, we're confident in our trajectory. Our initial FY 2026 guidance shows we are on pace to exceed our $1 billion total ARR and $330 million SaaS ARR targets ahead of schedule. To build on this momentum, we plan to continue to invest with focus and pace as we scale our leadership in cyber resilience. Now I will turn it back to the operator to open the line for questions.
Operator: Thank you. We will now begin the question and answer session. If you would like to ask a question, please press star one on your telephone keypad to raise your hand and join the queue. If you were called upon to ask your question and are listening via loudspeaker on your device, please pick up your handset and ensure that your phone is not on mute when asking your question. Again, press star one to join the queue. And your first question comes from the line of Eric Heath with KeyBanc Capital Markets. Your line is open.
Eric Heath: Hey. Good morning, Sanjay, Jen. I just wanted to ask about the macro. Can you just talk about what you're hearing talking to customers, how they're thinking about the macro at this point in the month of April? How they're thinking about cyber resilience and if there's any changes to sales cycles at this point or close rates the last few weeks? And then lastly, Jen, just how you're thinking about these factors when you're thinking about building the guidance for fiscal 2026.
Sanjay Mirchandani: Sure. Hey, Eric. So, you know, obviously, there's a you know, we've been spending a lot of time looking and hearing and checking on what we should be assuming as part of fiscal year 2026 plan. At this point, you know, the best indicators are conversations with customers and partners. And everything we're hearing so far is that cyber resilience continues to be a priority. And, you know, we don't see anything dramatically different from our assumptions going into Q1. Now again, you know, it's what we know and what we're close to. Having said that, you know, we do have some very clear outcomes from the COVID period when we had supply chain issues and so, you know, we've done things like not we don't sell hardware. So we don't have any direct dependency, you know, on hardware, but customers obviously do sometimes with their they're installing a software or we give them optionality with SaaS. So there are, you know, so they've netted out, I'd say, it's a wait and watch, but at this point, no significant change between Q4 and Q1. Jen, do you want to add anything?
Jen DiRico: Yeah. Sure. And so in terms of how we thought about guidance, the first thing I would just say to you is our philosophy is consistent with historical. And I think overall, what you're hearing in our guidance is a balance between being prudent but also understanding there's a true need for our cyber release products and our own internal execution. So Sanjay said, we have constant conversations with partners and suppliers. And at this point, I think it's a balance, and we're feeling confident about the guidance that we've set out.
Eric Heath: That's great. And, Jen, if I could just ask on the operating margin, guidance. About flat year over year. Again, for the second year. Understand the momentum in the business and the reason to invest, but just a little bit more clarity on you're thinking about the growth versus margin trade-off, where the investments are and just maybe some of the I would have thought we'd see some expansion kind of rolling off the Commvault acquisition last year that had some headwinds. Thanks.
Jen DiRico: So first of all, I would say we're really pleased with our FY 2025 performance. Rule of we hit rule of 41 for the year, rule of 45 for the quarter. As we think about next year, right, all the same things we've seen around the secular tailwinds, our own internal execution, the amount of buying decisions that continue in the market, lead us to want to continue to invest behind that opportunity. And so we're balancing those two things. And so, ultimately, what I would say to you is we're continuing to invest behind the opportunity while also being thoughtful around our overall profitability.
Sanjay Mirchandani: And, you know, SaaS as a business is growing? Has a different margin profile? So when you when all things considered, you know, we can we think it's a pretty good plan.
Eric Heath: Those people. Michael? Well, Demi, we'll take the next question, please.
Operator: Your next question comes from the line of Aaron Rakers with Wells Fargo. Your line is open.
Aaron Rakers: Yeah. Thanks for taking the question and congrats on the solid fiscal year. And the results. A couple of questions if I can real quick. In terms of Commvault, I think last quarter you had alluded to that being roughly about a $24 million contribution in this last quarter. I'm curious if you could, you know, maybe help us appreciate how much Commvault's provided, you know, this last quarter and kind of the momentum you're seeing there as you integrate that acquisition and really drive that business?
Jen DiRico: So first, I'll tell you is we're really excited. We continue to be very excited about Commvault in terms of what it does, in terms of expanding to additional customers and market segments. Going forward, we shared with you the Commvault Business last quarter to give you complexion. Going forward, we've integrated it fully into the platform. I won't be sharing specific guidance, but I can tell you as we think about next year's guidance, there's about a hundred bips in the number.
Aaron Rakers: And on total on total revenue.
Sanjay Mirchandani: And Aaron, Sanjay here. Just on, you know, on the product, Commvault brings us some very unique capabilities with our ability to handle extremely large datasets. On S3. And AWS our ability to literally, you know, backtrack to previous version in a fraction of the time and even capability that nobody has in the business. This bodes very well for large datasets and AI type applications, data lakes. So we're really excited about it. We put a considerable amount of focus on it. For the new fiscal year. And it's, you know, we think it's going to be a big differentiator. Now, of course, we're not calling out numbers specifically. We're not doing it because it's part of our go-to-market. And part of our overall offer. Yeah.
Aaron Rakers: Fair enough. And then as a real quick follow-up, you know, Jen, you talked about obviously the cross-sell upsell opportunity. Think, last quarter, maybe the last couple of quarters. I'm curious if you could help us appreciate the context of how much your SaaS portfolio has expanded. And maybe in that definition of like, how do you define success? Like, 30% goes to 50% or how are you thinking about that cross-sell opportunity within that SaaS customer base as you look out through the course of this next year?
Jen DiRico: Yeah. It's a great question. And I would say in the first of all, really continue to be proud of the fact that our SaaS net dollar retention remains at 127%. As I've shared and consistent with prior quarters, that mix is largely two-thirds upsell, one-third cross-sell. Where you would continue to see the continued adoption of newer offerings as well as our cyber offerings, things like AirGap Protect, Active Directory, Clean Room, Threat Scan, they made up 25% of our net new ARR this past quarter. And so while the mix is similar to prior quarters, I would say the number the absolute number of multiproduct customers is materially up. And you heard my prepared remarks a couple of great examples of customers that are taking on more than one product. So, also, I think we're really pleased. You heard this be a strategic priority without giving any sort of guidance. I think if you look at other peers in the industry where we show over time two, three, four products, I mean, that's what we're looking to see over time.
Sanjay Mirchandani: Yep.
Aaron Rakers: Thank you.
Sanjay Mirchandani: Thanks. Thank you.
Operator: Your next question comes from the line of Param Singh with Oppenheimer. Your line is open.
Param Singh: Yeah. Hi. And thank you for taking my question. Really wanted to get a sense of, you know, what are you seeing in the competitive landscape? How's that changed after, you know, the close of the acquisition of Veritas by Cohesity. And, you know, you'd also mentioned that the other vendors such as Rubrik can be more stronger in cybersecurity. How are you addressing that? I would love to understand that. Thank you.
Jen DiRico: Sure.
Sanjay Mirchandani: So, you know, our strategy has been about resilience. We've been on the journey of helping our customers be more resilient, which if you double click is giving them a strong ability to recover in the face of either cyberattack or any other type of situation. We're very focused on that. And, you know, we choose our battles carefully. We believe with the best, our technology with Commvault Cloud, in a hybrid world, is the broadest capability there is. So customers work with us and we shared a lot of new customers, large customers, that have adopted the platform to make them more resilient. Now the overall on-premise market that some of the competitors you mentioned play in is flat to very low single digit. If you look at our growth, be it on revenue or ARR, it's healthy double digit. And that means we're taking shifts.
Param Singh: Sanjay, if I may follow-up on that. You know, one of the earlier questions was about the investments you're making, organic. Right? So I wanted to understand what type of workloads or capabilities do you want to focus on in the year to three years that you feel are largely on top at this point?
Sanjay Mirchandani: Yeah. So if you look at sort of where we think that, you know, the way we've been sharing our platform one is about anything to help customers with it's not so much workload, but capabilities to help customers recover. So things like Clean Room. Our ability to help them recover with Active Directory forest level, which is really good technology. Right? They've done very needed. If you look at what we're doing with Commvault, and the Commvault capabilities, it's about scale. And the ability to scale out, you know, hundreds of petabytes of data in minutes and hours versus what would take, you know, unpredictable amounts of time if customers need to roll back something. If you look at our rewind technology that we acquired through Nutanix, which allows you to sort of rebuild at the click of a button and literally, I mean, click of a button. Entire cloud-native applications, configurations, the infrastructure that's needed to support and the data, of course. We are, you know, we're changing the game. We're changing what protection means and what resilience means. Now with that, we're obviously enhancing emerging workloads, be it things that support AI, be it things like vector databases, whether it's more cloud capabilities. So we continue to enhance the workloads, but really what we're really enhancing is our ability to make customers more resilient. In the face of something that brings their business back.
Param Singh: Down. Great. And if one last point if I could squeeze that in. Sanjay, I want to really get your view on this whole idea that, you know, backup vendors could be the source of truth into LLMs and feed into it. Some of your competitors have talked about it. I wanted to get your sense. Do you think that's realistic or that something that Commvault might want to get into over the next year or so?
Sanjay Mirchandani: You know, we tend to we only tend to mention something when we have capabilities to support it.
Param Singh: Sure. You're that's the truth. Directionally, I would say that
Sanjay Mirchandani: that we as in Commvault have been a very good source of the truth. And to do that, you have to be application aware. Okay? So even in historical applications, on-premise applications, which are tightly coupled and engineered, bringing back state, bringing back what you know, bringing back the application to the way it was when there was an error or a failure, has always been where we shine. Now with AI apps, the prominence of the applications and the componentry of that becomes is very important. In fact, I think I would go first thing is more important. Because of the way these apps are built and used. So I'm not getting ahead of myself, but to say that we could have a very good role to play in something like that is fair.
Param Singh: Thank you for sharing your insights on. Appreciate it. Thank you. Mhmm.
Operator: Your next question comes from the line of Rudy Kessinger with DA Davidson. Your line is open.
Rudy Kessinger: Hey. Great. Thanks for taking my questions, guys. On the ARR guide, could you just give us some parameters, I guess, around expected net new ARR, you know, in Q1 or just seasonality we should be in mind of for the year? I know Q3, Q2, Q3 were your strongest years last year. Just how should that, you know, low $150 million of net new ARR fall throughout the year?
Jen DiRico: Yeah. I think what you can expect to see is typical seasonality of what we saw in FY 2025. I think the baseline of $30 to $35 million on a quarterly basis is still the right way to think about the business. Especially given the strength that we saw particularly in Q3 this past quarter.
Rudy Kessinger: Got it. And then I just want to drill down maybe, you know, it was already asked about the guide and what it implies. From a macro standpoint. Just maybe to be clear, you know, you talked about record sales productivity and improvements year over year in Q4, etcetera. What does the guide imply from a sales productivity close rate etcetera, standpoint? Does it imply things are flat with last year or further improvements building on last year?
Jen DiRico: Yeah. Really, I would just say go back to my comments around we're being prudent about the macro, but also understanding we have a great opportunity in front of us. And so what I would say is we're not assuming massive gains in productivity, but we're quite confident in the durability of our model over the long term.
Rudy Kessinger: Got it. Great. Thank you. Alright. And congrats again on the quarter.
Jen DiRico: Thanks again, Rudy.
Operator: Your next question comes from the line of James Fish with Piper Sandler. Your line is open.
James Fish: Hey, guys. Appreciate the questions here. Can you just walk us through the growth on the international arena this year between EMEA and APAC? And more specifically, how you're thinking about durability of growth and really answering why won't some of the DORA tailwinds that you guys even talked about in your prepared remarks start to subsidize throughout the year just given that implementation date back in January.
Jen DiRico: Yeah. Thanks. I would say to you that overall from a guidance perspective, we're expecting balanced growth where we already thought. This past quarter, we saw balanced growth across our regions. Right? And, overall, EMEA actually had a really strong quarter without giving you too much detail on that. Ultimately, I would say to you as we think about next year, overall, we're incorporating what we know about the macro also been quite confident in our pipelines after we talk to customers and partners.
Sanjay Mirchandani: Hey, Jim. And also on the regulatory stuff, it's not a one and done. You know, these things are constantly evolving depending on the size of the institution, depending on the branches, depending on you know, it's just it's not it's not one of those. So it's a process that goes over time.
James Fish: Got it. And Sanjay, you had you had kind of talked about this and actually you as well Jen driving greater stickiness. So how are we supposed to think about the packaging or perhaps bundling that you could see particularly on the cloud or SaaS side versus having customers purchase individual SKUs moving forward?
Sanjay Mirchandani: Yeah. That's a great question. So they'll all let me make the second half of the question first. There'll always be specific workloads with customers need to protect. So that will never go away. So, you know, I'm an Oracle shop. Tomorrow, I buy something that has SAP. I need to incorporate SAP into the same single pane of glass. Same policy. Know? So that will that will continue. Where we have spent a lot of our time, effort, and in turn, the way we create IP, is around resilience. Now resilience isn't a simple thing. Resilience is, you know, it means different things to different companies and we are, you know, we're working with this concept of a minimum viable company where what does it take to come back to life in a minimum capacity? Let's say, your data center gets messed up or you get cyber attacked or whatever the cause is. You know, what is your predictable way? What is your predictable resilience to come back to life? In a minimum way? Now some of that is process. Some of that is skills. Some of that is technology. And we're working with partners to help customers think through this and build this out. So then when you look at products like AirGap Protect, and Clean Room and AD Forest Level Recovery, and other workloads that we back up, all of this falls into the constructive resilience. And customers tend to then think about and will continue hopefully to think about resilience as the outcome and what do we need to do to make that happen. And then you'll see that the stacking of what we're bringing to market makes a lot of sense and the packaging around that makes a lot of sense. Hence, Jen's comments about being able to cross-sell other abilities. And we don't distinguish between SaaS and software. You could be a software customer and still avail of our SaaS capabilities. Depending on what it's. Hopefully, that added some color.
James Fish: Got it. Thanks.
Sanjay Mirchandani: Thanks.
Operator: Again, if you would like to ask a question, press star one on your telephone keypad. Your next question comes from the line of Howard Ma with Guggenheim Securities. Your line is open.
Howard Ma: Great. Thanks for taking the question. Jen, you mentioned earlier on SaaS, and ARR that the mix between upsell and cross-sell should do we expect the mix to shift more to cross-sell in FY 2026 given your pace of product innovation? And what I'm getting at is when I correct me if I'm wrong, but when I think about your products that I like, in terms of, like, a layered cake approach, like, you have what I call backing up cloud-native workloads, you know, M365, Salesforce, VM, then you have more security-specific modules, you know, threat-wise and the like. I don't know if AirGap Protects, you know, Clean Room and Recovery fits in that bucket or the cloud-native bucket, perhaps both. And then Sanjay also mentioned that the newer modules, you know, at the Active Directory, which you guys have emphasized a lot, the cloud rewinds, Commvault. Can you kind of give us a sense of where you like, where are you on I don't know if those are the right three buckets, but you know, in terms like a layered cake approach, should that drive more of a shift to cross-sell then instead of upsell this year? Thank you.
Jen DiRico: Yes. It's a great question. While I won't guide any specific mix, we do expect expansion in our multiproduct adoption over time because it is a strategic focus for us. And you're absolutely right as you think about the cyber products Clean Room, AirGap Protect, Threat Scan, Cloud Rewind, Commvault, all Active Directory, all important products as we think about the expansion the overall cross-sell motion.
Howard Ma: Okay. Got it. Thanks. As a follow-up, and I'll keep this on a little shorter, it's a similar question on the term subscription side. How much of that strength is driven by improvement or perhaps stability in our gross retention and renewal timing as compared to new, you know, new term subscription licenses and how much is the hybrid approach, the Commvault hybrid approach driving cross-sell of HyperScaleX? Like, is it really the hybrid approach or is it just existing customers, you know, buying more, expanding more, but not necessarily hybrid?
Jen DiRico: Yeah. So first, I will start with you. The software term license portion this quarter was particularly strong. Not only in land, but also in the renewal and expansion. And so to your point, we absolutely see that customers come to Commvault because we cannot only protect their on-premise workloads, quite well, we can grow with they can grow with us as they add more platforms in the cloud, etcetera. I don't know. Sanjay, if you want to add anything to that?
Sanjay Mirchandani: The hybrid, you know, what we bring to customers with our true hybrid multi-cloud approach is what separates us from the pack. Our singular cloud platform Commvault Cloud, you know, you don't need to worry about having an air-gapped copy if you're an on-premise HyperScaleX customer, it just happens for you. You can choose the cloud you want. And we'll make the rest of it happen. Active Directory is completely transparent as the service runs. So we have been able to bridge that experience for our customers regardless of whether they dock with us with a HyperScaleX starting point or they come in from the cloud and then realize that, hey. This easy enough for me to, you know, have a single pane of glass for my on-premise workloads. So we have cases of both. And as our product capability to be shared a little bit about today already, evolved and have evolved, customers see this as the value proposition. Okay? And artificial I've said this for years. Artificial separation between a cloud or a SaaS-based capability and an on-premise capability is giving customers choices that they don't need to make. Or giving them things to do that they don't need. So we try and abstract that away and give you a unified approach. We're very unique in that.
Howard Ma: Great. Thanks so much.
Sanjay Mirchandani: Thank you. Thanks for the question.
Operator: Seeing no further questions at this time, that does conclude our question and answer session. I will turn the call back over to Michael Melnyk for closing remarks.
Michael Melnyk: Thanks for joining the call this morning. For those of you who are in San Francisco, we encourage you to stop by the North Hall RSA and visit our experience booth 5678. We have made some exciting announcements around this event. And reach out with any questions after that. Thanks so much.
Operator: This concludes today's conference call. You may now disconnect.